Operator: Good morning. Welcome to the Q2 Tyson Foods Earning Release Conference Call. (Operator instructions). I would like to turn the conference over to Ms. Ruth Ann Wisener, ma’am you may begin.
Ruth Ann Wisener: Good morning and thank you for joining us today for Tyson Foods Q2 Conference Call. With me today are John Tyson our Chairman and CEO, Rick Bond our President and Chief Operating Officer, Greg Lee our Chief Administrative Officer and International President, and Dennis Leatherby our Treasurer and Interim Chief Financial Officer. Before we move on to discuss the operating performance for the quarter, I would want to remind everyone that some of the things we talk about today may include forward-looking statements. That means those statements are going to be based on our view of the world as we know it today and that means things can change. So I would encourage you to look at today’s press release for a discussion of the risk that could affect our business. Now I am going to turn things over to John Tyson.
John Tyson: Good morning everybody. Thanks Ruth Ann. I would like to thank everyone for joining us on the call again today and I’m looking forward to discussing our business with you. I want to especially thank our Tyson team members who are making a difference out there in running our business and working in communities where we live and work, to all our shareholders, our friends out there who support our company. As we have said, our second quarter was extremely difficult; our beef, chicken and pork segments were all negatively impacted by excess protein. Our beef segment also struggled against very tight cattle markets and continued interruptions in access to export markets. Those factors prohibited us from profiting on what we call the spread due to higher live cattle prices versus lower boxed beef prices. Chicken segment had increased sales volume and generated slightly positive results even though the average sales prices were lower due to price mix, basically leg quarter values coming down and breast meat values. Our value added strategy inside our chicken segment allowed us to stay in positive territory. Our pork segment suffered from lower average sales prices and higher per head operative costs and our prepared foods business continues to improve on an adjusted basis but I can tell you it still remains behind what we expect from that business, but it is headed in the right direction and we are thankful for that. It was a difficult quarter and I can tell you we are glad to have it behind us, we can now focus on the future and continued execution of our strategy, and the three-pronged strategy of expanding our value added products, maintaining the best operational efficiencies and operational cost in the business and then continue to look at our international opportunities. As we always do, you will hear from Dennis and you will hear from Rick and Greg and they will give more detail about our decisions that we are making to better manage our business. In our operations we have been focused on running efficiently in all our segments. During this quarter we completed the closure and/or consolidation of chicken prepared foods and beef facilities and we continue to upgrade operations where appropriate. We have adjusted production plans in our poultry operations to align with current customer requirements and our own internal needs and we are also managing our inventory as well. We are being ever more disciplined as we go forward in managing our cash. We have reduced our Capex for the year from the range of $600 million -- $650 million to approximately $550 million. Capital spending for the first half of the year was $357 million, and included the completion of several large projects which you have heard us talk about in the past. Dakota City, Nebraska which is a beef slaughter plant, Sherman, Texas which is our third case ready plant. We are also about to complete the discovery center addition at our world headquarters which allow us to keep focusing in our R&D and our pilot plant and have all our people on one campus to take care of our customers and then the Forest Mississippi poultry plant project which was a consolidation of several plants into one complex. We will direct capital on a go forward basis towards those regulatory obligations, those customer mandated and the maintenance projects as we continue to be the best low cost operator. This will continue to focus on driving cash flow, paying down debt and focusing on those debt ratios. Going forward, I can tell you we will continue to evaluate opportunities to drive those efficiencies because we believe that is the best way to manage our company. We will continue to aggressively seek share, we are going after share and it is reflected in some of our volume growth, especially in those value-added categories which we believe is the right long-term benefit for the company. And as we speak, in our three pronged strategy we will continue our efforts on international expansion which will be a foundation for future success. At this time Dennis is going to visit with you, and then we will have Dick and Greg summarize the results and give you their views, and the areas that they manage. Dennis?
Dennis Leatherby: Good morning every one. Thank you John. In our press release this morning we reported a GAAP loss of $0.37 per share for the Q2 fiscal 2006. Please note 2006 Q2 GAAP results includes $14 million of plant closing costs related to the closing of two prepared food plants in Iowa, $45 million of plant closing costs related to the closing of two Nebraskan beef plants. The combined impact of these two items increased the GAAP loss by $0.11 per share. This compares to GAAP earnings of $0.21 per share in the Q2 of fiscal year 2005. Some other points to note. In our second quarter we issued $1 billion in new 10-year notes at a coupon of 6.6% to use for general corporate purposes and for repayment of $750 million of 7 ¼ notes coming due in October this year. $750 million of these proceeds were deposited in an interest bearing account with a trustee for the repayment of these notes during October and are included in the short-term investment section of the balance sheet. Our decision to issue bonds earlier than the October 1 maturity was an effort to take advantage of the favorable bond market and interest rate conditions. There will be a temporary negative carry affect from issuing the bonds prior to the October 1 maturity. The additional interest expense incurred prior to the maturity should be more than offset by the interest savings we should receive going forward. As a result of this note issuance, our total debt at the end of the quarter increased to slightly under $4 billion. However, adjusted for the $750 million of proceeds on deposit with the trustee, our net debt is actually $3.24 billion. This net debt is $34 million higher than Q2 of last year and on a net basis, the debt to capital ratio is down slightly to 41.4% compared to 42.1% a year ago. Net interest expense was just slightly lower for Q2 of this year versus the same period last year as average debt and average interest rates were basically flat. Now let’s review our financial outlook, our fiscal year 2006 GAAP earnings are now expected to be in the range of a loss of $0.25 to a profit of $0.10 per share. As a result of the changes just noted above and in our earnings guidance, we have a few more changes to point out. Revenues for the fiscal year are now projected to be between $25 billion and $26 billion, primarily as a result of lower average selling prices presently being experienced in all three of our major proteins. Interest, foreign exchange and other charges are now expected to be approximately $230 million, which is up from our previous range of $200 million to $210 million. This increase is due to higher average borrowings than originally forecast along with the temporary effect of the incremental interest expense associated with our recent bond offering. Our tax rate for fiscal year 2006 is expected to be approximately 36%. As John mentioned earlier, our capital spending for fiscal year 2006 is now expected to be approximately $560 million, down from our previous range of $600 million to $650 million. Depreciation and inflation is expected to be approximately $520 million for the fiscal year. Weighted average shares will be approximately $346 million. And just as a reminder, let me restate our corporate policy regarding earnings guidance. If the company determines during the course of a quarter that our previously issued guidance should be modified or updated, we will make a public disclosure updating our guidance for the benefit of all shareholders. Also, as is our customary practice, we will not be making any comments regarding individual quarterly earning estimates on a regular basis or within our call today. This concludes my comments, now I will turn the call over to Dick.
Richard L. Bond: Thanks Dennis. Good morning to you all and thanks for being with us today. As we indicated in our press release as well as in the release a week and half ago, our Q2 results were very disappointing. All of our segments were affected by the over supply of protein in the marketplace. In addition our segments were also impacted by considerably higher fuel and energy costs, which were approximately $44 million higher for Q2 and $112 million higher for the first six months of this year compared to fiscal ’05. Now I am going to take a quick look at each of these segments and talk about our customer channels as well. Our chicken segment had an operating income of approximately $9 million for the second quarter this year compared with $143 million in Q2 last year. Pounds sold were up about 7 percent over Q2 a year ago, but sales dollars were down slightly. Demand continues to be good domestically; our consumer products and food service channels have shown volume increases in our chicken sales. However, protein supplies and international concerns related to the avian influenza have negatively impacted pricing, particularly for leg quarters and breast meat. Lower sales prices and slightly higher grain costs contributed to markedly lower earnings. Based on the most recent USDA reports, overall supplies appear to be getting more in line with present demand. Our own expectations are that the overall production will be flat to slightly down in the coming months. Commodity chicken prices appear to have bottomed. In the aggregate we expect grain costs to be similar to a year ago levels with corn forecasted to be slightly higher and soy bean meal slightly lower. Demand will continue to be the key going forward for both domestic and international sales. Tyson has taken a very disciplined approach over the last two years to manage our base chicken production. In fact, going back over the last five or six years, our total ready to cook pounds have been generally flat. However, we continue to optimize the use of our internal bird supply. We have reduced bird weights in a number of our complexes in order to right size them for better use across our channels and to better align our production to meet the demands of our food service and consumer products groups. In addition, we have decided not to increase production as we normally do for the summer holiday promotions. In our beef segment, sales were up about $80 million on year-over-year basis primarily as a result of volume increases of 137 million pounds over Q2 `05. However, this volume increase was offset by sales price declines from $1.23 to $1.19 per pound. Due to the abundant over supply of protein in the market, we made a conscious decision not to run as many cattle through our production facilities as we did in Q1. We also continue to be short of domestic cattle during the Q2 of `06. These factors impacted our domestic capacity utilization which averaged 71% for the quarter but did show signs of improvement to approximately 75% at the end of March. Today we are running a little higher than that, but still not at the levels we would like. For Q2 of fiscal `06 when adjusted for charges of $45 million related to the closure of two Nebraska beef plants, the beef segment had an operating loss of $143 million. In Canada our Lakeside beef operation is still feeling the affects from the labor strike back in the fall, as well as the affects of increasing number of cattle that have been moving from Canada to US causing higher live cattle prices in Canada. As we told you earlier our third case ready facility opened in Sherman Texas during the month of February. That startup increased our beef operating cost for the quarter by about $8 million. However, we should be able to recoup these costs and b operating at a breakeven to slightly profitable during the month of May. This is an exceptional compliment in such a short period of time. As expected, cattle supplies are showing signs of improvement. Cattle-on-feed reports as of April 1 showed record numbers indicating that cattle ready for slaughter should be more plentiful during the late spring and summer months. This should help our overall capacity utilization. In addition, we have seen as expected our normal growing season related price improvements on several of our popular steak cuts of beef. These factors should drive a much improved back half for the year in beef. In pork, the second quarter was disappointing as well. While volume increased slightly over Q2 of ’05, an over abundance of protein again pressured selling prices. Average selling prices and total sales dollars declined by 12% on a year-over-year basis. Operating margins were just over 1% compared with 2% for the same period last year, not where we want them to be. Capacity utilization was lower by about 5 percentage points than in the first quarter of this year. Additionally higher energy costs negatively impacted our operating costs as well. Our Sherman, Texas case-ready plant also reduced our pork operating earnings by about $2 million. While our total sales dollars in our prepared foods segment for the quarter fell 7.1%, volume was basically flat on a year-over-year basis. Sales prices for the quarter were 6.5% less for the second quarter a year ago. However decreases in input costs combined with shifting of our focus to our core of profitable products generated higher operating margins. After adjusting for the $14 million in plant closing costs during Q2, margins improved to 2.9% from Q2 last year to 3.6% in Q2 of ’06. This upward trend in margin improvement reinforces our belief that value added prepared foods segment is moving in the right direction. This business continues to be a growth vehicle for us especially within pizza toppings, bacon and refrigerated meat categories within our consumer products and food service channels which I’m going to talk to you briefly now. Within consumer products we continue to grow our case-ready beef and pork business. Sales improved by almost $20 million over the same period a year ago to generate total sales dollars of $414 million in the quarter. This increase was lead by our case-ready pork which actually had double digit volume growth compared to last year. As I said before, the startup in Sherman, Texas has been a great success with production volumes already meeting our planned forecast. In a category that has recently experienced very little innovation, Tyson has set a course to reinvent case-ready chicken. We are in the process of presenting three major initiatives on Tyson fresh chicken to our retail partners supporting a commitment to drive margin enhancements by leveraging consumer insights and driving innovations. Through a proprietary process all Tyson fresh chicken will qualify and be marketed as 100% all natural, including marinated and non-marinated products starting in June. In addition to this conversion, two new lines will be introduced. Tyson trimmed and ready and Tyson individually wrapped fresh chicken. We believe these new items will increase Tyson’s brand presence within the case-ready chicken category as well as give us a companion list to the overall Tyson branded fresh and frozen chicken offerings. We will have a lot more details on these initiatives in the coming weeks. Branded bacon continues to be a great growth vehicle for us. Tyson markets branded bacon under well known names such as Tyson ready to cook and Tyson fully cooked bacon as well as Wright Brand and Corn King, and we now have a 10.8% volume share of the total bacon category. Tyson’s branded shares are up 1.2 share points versus the same period last year. Within our value-added deli side of our business, consumers validated the re-launching of our Russer brand of deli products. The re-launch is going extremely well in the early stages where there has been universal acceptance by our retailers and the brand is tracking ahead of prior year volume by more than 15%. Within food service, volumes were up by 3% over Q2 last year. Our prepared foods segment had impressive gains within the food service channel by leveraging our ability to provide an array of complementary products such as Taco Meat, tortillas and sauces. Within national accounts, we have expanded our relationship with core customers as well as brought on new business especially in categories like Taco Meat, tortillas and toppings, and sauces. Sales growth remained good within the school channel as well which has had year-over-year volume growth of approximately 6%. We continue to gain share in bacon specifically in distribution and national accounts with the overall category up 20%. We will continue to focus on top line sales and share growth in core categories and new channels as we move through the second half of the year. In summary, while we knew that our second quarter would be extremely difficult, it was even more challenging than expected, especially in the beef and chicken segments. Looking forward, cattle suppliers are increasing, pricing is showing signs of improvement. We expect that over the near term we will still battle an over abundance of protein supplies. I believe you can expect our results to improve in Q3 and Q4. Now, I would like to turn the call over to Mr. Greg Lee.
Greg W. Lee: Thank you Dick and good morning. Our total export sales were $487 million for Q2. This is up 1% versus Q2 of last year. Our Q2 export volumes of commodity chicken were up 8% versus the same quarter of last year and were up 9% over Q1 of this fiscal year. Our average sales prices for leg quarters declined $0.7 per pound versus the same quarter last year and $0.24 per pound versus Q1 of this fiscal year. As a result, our sales revenue declined 10% versus the same quarter last year and 40% when compared to Q1 of this year. During Q2, we continued to work to diversify both out product mix and our destination markets. The combination of these efforts allowed us to reduce our inventories by almost 25% from the period Q4 ‘05. An examination of USDA cold storage data points to an improving picture in the overall industry’s frozen inventories, with total dark meat inventory’s down 14% from December 2005 to March 2006. As you are aware, the Russian veterinary service is now changing all veterinary poultry permits. Russian Agricultural Minister, Alexei Gordeyev, said it is a technical issue and the new permits will be issued in 10 to 14 days. We are loading vessels to Russia with our original permits that were approved through May 8. At this juncture, we believe this to be a short lived situation and do not expect this to have a material affect on our Q3 sales. Should we experience a delay in attaining the revise permits, we are prepared to accommodate our Russian customers through altering our shipping schedules and facilitate our sales by shipping products to alternative markets. Based on our current sales logs <___> we expect to continue to reduce the inventories as we go through the balance of Q3. In addition we expect pricing to improve as we move into the latter part of Q3 and on into Q4. Our export sales of beef products were $221 million for Q2. This represents an 11% increase over Q2 of the prior year. Our sales volume of boxed beef was up 6% versus Q2 of last year. The quarter comparisons were bolstered by both sales to Mexico for chicken <___> and overall demand from Taiwan. Taiwan reopened its borders to US beef during Q2 and was our largest trading partner for the period. Concerning continued market access issue, the United States government continues to negotiate with their Japanese, Chinese, and South Korean counterparts in an effort to regain those markets. Our Q2 ’06 continued the trend of strong boxed pork sales with volumes up 17% versus the same period last year. The increase in sales were led by sales in hand, Mexico and Japan remain our primary markets representing 78% of our pork export volumes and 70% of our total revenues. While significantly smaller, our boxed pork sales to South Korea continue to grow rapidly and South Korea now represents our third largest export destination. Talk about Tyson to Mexico, sales for the quarter was 7% above the same period last year due to higher volume offsetting comparative prices. Chicken prices for Q2, while better than those realized during our Q1 this fiscal year, were still encumbered by supply side imbalances. The net effect of these impacts was that operating income for the quarter came in at virtually breakeven versus the losses that we suffered in Q1 of this fiscal year. We expect prices to further improve as we move through the balance of Q3 and into Q4 and we are anticipating much better results in the back half of the year. We continue to look for other opportunities to further enhance our position as the leader in value added poultry products in Mexico and to diversify our geographic presence. In China our domestic sales volumes to both the food service and retail channels returned to levels that are equal to those experienced before China’s winter avian influenza outbreaks. We continue to work to expand our presence in the retail channel by adding more outlets in the modern grocery industry. We are in advanced discussions with a leading local poultry company for the establishment of a joint venture. With regards to South America, we have put in to place two sales agreements that are allowing us to supply our global customers with alternative sourcing options and to sell them a broader array of poultry items. We remain interested in growing our presence in the region and continue to pursue opportunities to facilitate that objective. Thank you. With that I will pass it to our Chairman, John Tyson.
John Tyson: Well, thanks Dennis, Dick and Greg and I appreciate the comments and we thank you, those that have joined us on the conference call today. As always has been our responsibility, we will work very hard to mange our cash and we will continue that balanced against our business opportunities. We will continue our three part strategy like value-added growth, operational efficiencies to be the best cost producer and the international expansion. We will continue to develop our folks and enhance our abilities to expand our leadership role in the protein sector. That wraps up our prepared remarks about our Q2 and it’s been a tough quarter, we told you that all along. It is now your turn to ask us a few questions.
Operator: Thank you. (Operator instructions).
Ruth Ann Wisener: The first question should come from Dave Nelson.
Operator: Okay, he has not queued up.
Ruth Ann Wisener: Farah Aslam should be second.
Operator: Farah Aslam, your line is open.
 Farha Aslam, Stephens Inc : Hi, good morning.
John Tyson: Good morning Farah.
 Farha Aslam - Stephens Inc : Thanks for all the details on the call, its very helpful. Where are you selling your chickens to in the international market? Who are your major customers right now?
Greg W. Lee: Farah -- you -- the -- we continue to still flow a lot of product into Russia, the shipments continue on an uninterrupted basis, but we are also selling products really throughout the Middle East, through the sort of Central Asian markets, we continue to sell products in to Cuba, as an example, a pretty broad array of countries.
 Farha Aslam - Stephens Inc : Any kind of strong demand out of China though?
Greg W. Lee: Are we are selling products to China? Yes, ma’am we are selling products to China. We don’t -- that is not a primary destination for leg quarters, but we have in fact been selling leg quarters in to China as well as other cuts like wing tips and chicken paws and a few other items.
 Farha Aslam - Stephens Inc : And, can I have the declines in your production for the summer, just if you were to annualize it, would it be sort of 0.5% cut, 1% cut versus your volumes last year?
Richard L. Bond: Farah, this is Dick. Its about 7/10 of 1%. Between the holiday cuts and the bird weight reductions it represents about between 7/10 and 8/10 of 1% output reduction.
 Farha Aslam - Stephens Inc : Do you think that’s all that’s going to be needed by each player in the industry, about how much do you think the industry needs to rationalize to get pricing, particularly for fresh meat back to its normal level?
Richard L. Bond: Ms., we don’t know the answers of that question. It’s just going to take time. Everybody is -- including us is doing our best to make sure that chicken is a highly promoted item and we are just going to do our best and do our -- what we need to do to take care of our customer and get those prices back up just as quickly as we possibly can.
Greg W. Lee: I would add to Dick’s observation, is that you know we have a range of bird weights to match up against the different customer needs, whether its QSR needs, fast food needs, retail needs. Whereas a lot of our competitors out there are basically the big bird, breasty, boney, chicken leg quarter out overseas model. So, you know, we still have the obligations to meet the needs of our customers through the range of weights and where had a chance to modify, adjust weights and trim production, we did that. I can’t speak for the big bird breast, debone or leg quarter person and what they need to do but they are the ones that’s really bighting it right now.
 Farha Aslam - Stephens Inc : And in terms of food service promotional activities for the summer, do you see any interruptions with AIC amongst your customers, or are they planning to promote chicken --
Richard L. Bond: Well, there will be promotions of chicken headed into the summer. There is a desire on the consumer side to promote beef because beef hadn’t been promoted for two years, so I think you will see both a combination of beef promotion and poultry promotion out there in the marketplace, which will be good for those two segments.
Unidentified company participant: Specifically on the food service side from what we know, the plan of promotions is still very strong on the poultry side.
Unidentified company participant: And if we saw one -- one large customer -- your know and -- and another part of the region, did note that their other volumes have now come back and are headed in the right direction too.
 Farha Aslam, Stephens Inc : Okay, and my final question and then I’ll pass it on, is just trying to get a better understanding of hog price trends versus cut out values. They seem to be improving in March, how they are looking in April and kind of going forward in the summer months for you guys?
John Tyson: Are -- are you talking about --
 Farha Aslam - Stephens Inc : Hog prices and cut out value for pork?
John Tyson: If you look at the hog prices, actually here in the last 10 days or so live hog prices have -- gone up actually on a lean hog basis, $6 or $7 a hundred weight. Which is normal, I mean that -- it’s a normal seasonal rise as we -- as we usually hit this late April, May, June period. So I think they are doing what they normally have done. If there is any lag in the -- in the pricing, its really been on the retail side, on the pork loins and on the pork that’s really haven’t kept pace. And again I think this is because a little bit of the over abundant supply and the pressure on selling prices and I think that’s likely to continue here in the short term. I do believe that hog prices have gone up seasonally. They might go up a little bit more but there are still quite a few hogs out there and I think that again hog prices will turn around and come back down as we get in to the middle and the latter part of summer.
 Farha Aslam - Stephens Inc : Okay, thanks for the color, I appreciate it.
Operator: David Nelson, your line is open, please --.
David Nelson - of Credit Suisse First Boston: Good morning, can you hear me now? We can.
David Nelson - of Credit Suisse First Boston: Great. I had punched in; I must have done something wrong. Chicken was actually positive in the quarter which I thought was a accomplishment. The question is, was there anything unusual -- any unusual positives in the quarter that would make the comparison for the current’s or June quarter difficult, or do you expect June to be better than March in chicken?
Unidentified company participant: Well, Dave, I would tell you that no, there wasn’t anything in Q2 that was unusual. I will tell you this you know, leg quarter prices if you recall in January were considerably higher than what they are now.
David Nelson - of Credit Suisse First Boston: Right.
Unidentified company participant: And, I think that coupled with our value added strategy really was good for us in Q2. Actually Q3 is probably going to be more difficult than Q2 because we will have the lowest affect of leg quarters hitting us during the third quarter.
David Nelson - of Credit Suisse First Boston: Got you. Any thought given the decline in your share price about taking on some debt buying back stock?
John Tyson: Well, as we have always been disciplined around here, we are going make sure our cash is in the right position, make sure that we manage the positive cash flows as we manage our business. Dennis and his team did a good job out there, put us in a position to reduce our interest cost with the billion dollar swap that we have the 750 in the trustee account which will pay off the higher debt and Dave for right now and for the rest of the folks on the call, we are going to manage cost, manage cash and manage debt before we look at that option and we still have the desire to allocate some of our capital to either small acquisitions in the United States or small acquisitions outside the United States.
David Nelson - of Credit Suisse First Boston: Okay, and then lastly, it seems like you and the rest of the industry is always going to be vulnerable to export customer cut-offs or vulnerability to the avian flu concerns. Could you talk more about -- I know, we have talked in the past over the years about trying to do with the -- more with dark meat for the domestic market, but it seems like, US restaurants are training the US consumer to only lunch the white meat. Big picture in the longer term, how are you thinking about trying to do more to add value to dark meat for the domestic market, so you are not so vulnerable to these export market’s volatility?
Unidentified company participant: Dave, I would say two things. I mean, one, just an export comment, we will continue to work hard to spread that base throughout the world and there are other areas in the world that do have an interest in a very good high quality lean protein. So, I mean that’s the first thing, we are going to continue to work on spreading that base but I would tell you that domestically we have quite a few resources now from an R&D perspective again looking at different things that we can put together not only for schools, but within both the retail and the normal food service channels, we do believe that a dark meat based chicken patty -- we have tried that before but I don’t think we had everything around that. My only point is that it is something that we are going to continue to look at, something that we are working hard to try and look at different alternatives and different uses whether they be for human consumption or whether they be for pet food consumption. We are looking at a lot of different alternatives right now.
Unidentified company participant: Dave, let me just say one thing. I think now, we’ve over the years consistently tried to develop domestic uses for chicken -- for dark meat chicken beyond just as commodity form and had you know, relatively modest success. I think the thing we feel better about is the fact that we now have such a substantial multi protein presence and we have the R&D skills that have kind of cut across all of those proteins and we have such a much broader array of items and manufacturing process types that we believe that with -- you know, sustained effort we can do a better job of successfully selling some dark meat products domestically.
David Nelson - of Credit Suisse First Boston: Right.
Unidentified company participant: I think it’s more about taking you know, a certain percentage of those pounds and converting them into other products and you know, to say you’ll never get a 100% of your leg quarters converted into downstream products, would not want to leave you that impression, but if we take some percent in each of those off the market and in other forms, that’s what we’re working on.
David Nelson - of Credit Suisse First Boston: Thank you very much.
Operator: Thank you, our next question is from Leonard Teitelbaum, your line is open; please state your company name?
Leonard Teitelbaum - Merrill Lynch: Good morning, Merrill Lynch.
Unidentified company participant: Hi, Lenny.
Leonard Teitelbaum - Merrill Lynch: Just a couple of questions here, the reduction in your CapEx, Dennis is that deferred CapEx or is it going to be cancelled, from the 650 to 550?
Dennis Leatherby: It’s a little of both Lenny, it’s you know, largely the big projects are behind us with a couple of more big ones to finish, and then we’ll push them on in to the future. We’re going to focus as John said on the maintenance, the customer mandated and regulatory type of spending. But you know, what it allowed us to do Lenny was to kind of just you know rethink the allocation of capital spend. You know, some projects will be delayed, but some will be cancelled and it allows us the chance to manage as we move into the third, fourth and the first and second quarter of next year.
Leonard Teitelbaum - Merrill Lynch: Sure, you know, when I took a look at the range that you’ve given, which considering what’s going on out there, is probably the you know, the best we can hope for, but you have right for you to get the $0.10 because you know, your share base changes pretty dramatically when you move from a loss to a gain so it’s more than just the swing in operating income because you’ve got to pick up that share base as well, which I think is about a penny a share, how do you -- what has to work right to get to that dime?
Unidentified company participant: Well, Lenny I would say that there’s two things, one, we have to see this overabundance of protein subside somewhat. We do need to see our chicken segment in the fourth quarter pick up, meaning breast meat prices, tender prices improve, and leg quarter prices improve like we should see them. In addition I would tell you that the beef segment needs to have good positive margins especially as we get into the late May, June and through the months of July, August and September.
Leonard Teitelbaum - Merrill Lynch: Okay, good, I’m not trying to be overly negative, it just seems to me like I’m perhaps pushing some numbers around here, a lot has to go right to get to the dime, I think it’s a long shot and I don’t want -- I just want to know whether or not I’m just being too negative?
John Tyson: Well, I think you’re being realistic, I mean I think Dick did a good job of aligning some things that have to move in the right direction and they need to move sooner and then they need to be sustained all the way into September and October. So you know, the beef segment has a chance to go positive here in the next week or two, which within 18 or 20 months you know, the chicken supply needs to be cleaned up and that can be cleaned up by promotions and pricing of products you know, cattle supplies need to stay in balance, the industry doesn’t need to get excited about going positive and starting to put the cattle forward again. That balance of supply in to the plants needs to be able to stretch all the way till September and October and then we are just going to have to use price to price protein into people’s product and into people’s stomach and then the competition for dollars with energy prices out there will be a factor as we move to the next 60-90 or 120 days.
Leonard Teitelbaum - Merrill Lynch: And that brings me to my last question John, I think you guys did a real good job of controlling what you can control, but it just seems to me that you know if the competitive landscape does not follow somebody’s lead more than just talking about it, it always becomes a target out there that going to be hard to get. And you have made a comment that you know like you are going after share and what you say, I believe on that. Now is there any other way to get a beside price and if so what is that if you are going to go out there in already a pretty low market and I mean you can kill them with kindness and service but at some point it gets down to what do you charge for the product. I guess what I am trying to do is figure out what your pricing mechanism is going forward if indeed you are trying to get share and that indicates to me you are going to start cutting some prices to do it. Am I reading that wrong?
John Tyson: Yeah, you are reading it wrong in the context of cutting prices, we are just going to take advantage of the current low prices with the excess supply out there to go out there and put our sales in to position to have some market share gain so that when the price does turn we are inside and have the customer relationship and we will get a benefit of the increased prices. We are not going to be cutting price, but we will take advantage of the lower price structure right now and the excess supply that is currently in the industry both using the internal supplies and buying raw material on the outside where we can buy cheaper than our own internal cost of production and go out there and have an opportunity to -- Dick might have some color on top of mine.
Richard L. Bond: I think I would add to that Lenny, is just when we talk about that we talk about that much more in the value added arena than we do and quote the commodity arena, this is where we are going to take advantage of this time frame again try and build that share, get over that -- get up or over that $12 billion mark and value add it so, I mean it is share, but share of the right kind of products in the right channels.
Leonard Teitelbaum - Merrill Lynch: Good answer. Thank you very much.
 Operator : Thank you, our next question is from John McMillan, your line is open. Please state your company name?
John Mcmillin - Prudential: Prudential, good morning everybody.
John Tyson: Good morning John.
John Mcmillin - Prudential: So the other reason shares outstanding went down is because of a loss in the quarter?
John Tyson: That’s correct.
John Mcmillin - Prudential: And then how would you characterize them, you might not have all the numbers for April, but how would you characterize April vis-à-vis the other three months of the quarter?
John Tyson: Talking about the previous three months?
John Mcmillin - Prudential: Yeah.
John Tyson: Or forward three months?
John Mcmillin - Prudential: Well, how would you characterize the month that just ended compared with the quarter that just got reported?
John Tyson: I would tell you that it is in line with what our expectations that we talked about publicly. Easter was a little bit later but you’re starting to see the seasonal trends that we anticipated -- you know we told you we would expect some improvement as we headed into the third and fourth quarter and the indicators are that some improvement is headed our way but I would use the keyword “some,” and wouldn’t want to leave you the expectation that you know it’s great improvement but the seasonal trends, the seasonal activities are starting to show up and you can see some improvement.
John Mcmillin - Prudential: But certainly the numbers in fourth look better than maybe what had in pork processing. First, I think talking about a loss in the quarter, but some of the relative numbers looks better outside of beef. You don’t seem too worried, Dick about the corn or soy bean costs. I know you’re not going to give us hedges, but you know, to what extent could that be applied in the in terms of your business plans before you hedge through the year?
Richard L. Bond: Well I mean, now you’re probably in the most volatile time of the year in terms of planning, and between now and all of the -- kind of the middle to the end of May do we see you know, what kind of acres get planted, and what kind of rates they get planted at -- I mean, you are right, John. Right now is a time when there’s a little bit of uncertainty in the markets, but you know, from a world supply standpoint and what looks like the planting season you know, looks decent. We just don’t see a big runaway coming here, and like I said, I think corn will be a little bit higher and I think soy bean meal will be a little bit lower, and the net effect to that looks to be similar on a year over year basis.
John Tyson: John, we do have those historical hedges where we have key customer contracts in place, some of the value-added types, and we do have some of those hedges in place, but that’s been historical and you’re all aware that we knew that year to year as we do some fixed price contract even with key customers.
John Mcmillin - Prudential: And the fact that chicken volumes were up to seven, a lot of that reflects selling of the inventory, it’s not that you’re producing anywhere near 7% more chicken?
Unidentified company participant: That is exactly correct, John. That comes from the fact that you recall that at the end of the third quarter, we had a slowdown in some export sales -- excuse me, in the end of the first quarter, and we picked up some of that incremental volume during the second quarter of our inventory.
John Mcmillin - Prudential: And Greg, before Russia puts this temporary ban into place, you know, there was some loose bounce off the bottom in the late quarter prices from whatever it is, 16 to 17, I don’t know how accurate these spot prices we monitor are anyway, but could Russia you know, kind of pre-buying or adding to inventories before announcing this ban, or is that to --?
Unidentified company participant: Well, you’re a suspicious soul, John.
John Mcmillin - Prudential: Yeah, that’s me.
Unidentified company participant: You know, the sales volume on the street in Russia actually was picking up, there’s no question. I think it was fuelled by the lower prices you know, more of a consumer benefit. We were seeing the inventories on the ground in Russia actually improving, so you know, we do believe that a part of this is just simply the improved circumstances in Russia. We will have to watch this little certificate related interruption, but it was seemingly improving as were pricing, improving.
Unidentified company participant: And I think the response from the ministry over in Russia was a quick response to tell you what their intent was.
John Mcmillin - Prudential: And what do you think of my last question, what do you think -- you know, I was thrilled to see a softer executive having known a few of them in my day, all of them seem to be extremely well qualified, but there’s just one or two you think weight could add for Tyson, what would you say it would be?
John Tyson: I think you know, our financial group and what Dennis and his team has done have been more than outstanding. I think you know, if you look at the areas that we’ve talked about trying to make progress, and he has been overseas for eight to ten years, he has a great understanding of the complexities of financing and bringing business, consumer insights, how do you take the data that you have, mine it a little bit harder, so you understand some things a little bit deeper, and then we hope to maybe use some of the expertise in some systems that can be brought in to better use the knowledge that exists and is coming -- forget how to mine it better than that, so I would say the international and the mining of the current data we’ve got a little bit harder, a little bit deeper, a little bit faster.
John Mcmillin - Prudential: Thanks a lot.
Operator: Thank you. Our next question is from Christine McCracken. Your line is open; please state your company name.
 Christine McCracken - Ftn Midwest Securities Corp.: FTN Midwest.
John Tyson: Hi Christine.
 Christine McCracken - Ftn Midwest Securities Corp.: Good morning. Just looking then at current production of chicken and beef for the industry, we are looking at, I think total production of chicken up 5% currently, beef here to date I think is up 8% to 9%, is it still your expectation to gain share as your holding chicken production somewhat flat? How would you maneuver around that?
Unidentified company participant: On the chicken one you know, one of the things we’ve already worked hard at is, what would be, what we call being one chicken short, so as we need raw material out there in the market place we go out and buy from other producers and this gets shared earlier, our focus is on increasing market share in the value-added products and the right products, so as we have the opportunity we can be in the market place buying other peoples’ excess raw material, bring it into our value-added mix, and it allows us to go after market share. Dick, on the beef number, do you want to --?
 Richard L. Bond : Well Christine, I mean, as it generally happens, when you get into May, June and July, those are generally three of your higher capacity utilization, higher output type months, and you saw the process sorted from last week, it grew substantially over the week before. So I mean, we are having record cattle, so it is a function of what’s going to come to market, so supplies are going to be higher, and all we are going to do is get our fair share on the beef side. If I go back to the chicken side, your 5% number, I’d believe is a historic number, meaning that there are changes in the works that had been announced by several of our competitors that in the coming months, those numbers are not going to be anywhere near as high as what has historically taken place over the course of the last couple of months. It takes time to make those cuts effective. So I personally believe that by the time that we get through May and June as an example, that there won’t be an increase, there will be a slight decline in output, because that’d be through weight and/or heads?
Unidentified company participant: And the USDA numbers have been under 100% for the last three weeks.
 Christine McCracken - Ftn Midwest Securities Corp.: Right, and at the same time they’re expanding the breeding herd, and the flock, and we are getting rather significant productivity improvements, and the new genetics that they’re introducing in the chicken industry seem to be I guess, growing the supply of white meat. So I guess you know, even if you keep the flock size somewhat flat, which it doesn’t appear to be happening at this point, if you make some cuts I guess, temporarily you’re still getting huge productivity improvements. Is that not fair? I mean, even if you cut back weight?
Greg W. Lee: Christine, let me comment just a little bit on the breeding stock, this is Greg. I believe we are going to start seeing some moderation on the breeding stock placement as well and the economics being what they are, the discipline that you’re seeing in the numbers, we believe will go forward. You are right, we have a very productive industry and the breeding stock on the ground if fully utilized, it suggests bigger numbers, but you got that now too and you’re not seeing them.
 Christine McCracken - Ftn Midwest Securities Corp.: All right, and just in terms of your expectations I guess, in your comment -- your press release out today, you say that the impact of the oversupply of protein is expected to diminish in the second half of the year, and yet you’re looking for rather sizable increases in beef. I think to your comment Dick, at least over the summer, how is that we are going to get an improvement in price if we get such you know, big increases in beef suppliers over the summer?
Richard L. Bond: Well, you’re going to have increase in supplies, which -- really, I’m referring -- I mean, we have seen the seasonal rise like we generally do for Mother’s Day and for Memorial Day on the tenders, and the strips, and the ribbies and all those items that are basically state-based, we are already at relatively high levels and they have gone up substantially in the last you know, ten days or so. Once both the retailer and the food service operators thought it was the time to start buying those items. So that’s where the price increase is coming from. The big advantage for us is going to be in the spread. I mean, we’ve seen cattle decline from $94 to $79 this past week, and typically when that happens we are able to hold on to a little bit more of those spread dollars, which we are already seeing that effect, so the beef while we will have more supply, don’t forget, we have been at a record low supply of beef all through ‘05 and you know, the herd is rebuilding, so you are going to see a little bit more beef, but beef hasn’t been, quite frankly, where the majority of overabundance has been, it’s been more in chicken, turkey and pork.
 Christine McCracken - Ftn Midwest Securities Corp.: I guess, in terms of your export demand that could take some of that increase, it sounds like South Korea might open some time this summer, and Japan possibly later in the year, but at the same time it sounds like this morning when your plants got shut down to Taiwan, which apparently is now your largest market for exports, could you talk about kind of what you’re seeing on the export side?
 Greg W. Lee : No, we are not seeing any kind that we can absolutely point to that tells us the date when we are going to see either South Korea or Japan open. Like all others to follow the industry, see these ongoing discussions, we see certain amount of progress perhaps, evidence, maybe more evident in the South Korea and we think potentially it will open even before Japan, but you know, trying to forecast when that’s going to happen, we don’t have very good track record.
Unidentified company participant: -- From South Korea.
Greg W. Lee: They’re coming to visit the location, so you know, yes, we are hopeful before the end of the year, those markets will reopen, but you know again, we are not doing very good at forecasting that.
Unidentified company participant: Christine, I mean, we did, you’re right. Our Liechtenstein plant did get de-listed. Hence part of the problems with some of the negotiations that have been going on, when you have a zero tolerance and they find one little bone fragment they de-list the plant. Cargill had one, Swift had one. I mean, this is part of the things that we as an industry are trying to get our negotiators from the USDA when dealing and trying to set up these programs, there has got to be some reasonableness in them. So, really quite frankly, as an industry, we are probably slowing down some of these negotiations a little, trying to end up with a more reasonable outcome so that we can continue to ship whether that’d be to South Korea or to Mainland China or to Hong Kong or to Taiwan.
John Tyson: You know, there’s a theory of putting commonsense into these negotiations escape some of our trading partners.
Christine McCracken - FTN Midwest Securities Corp.: Fair enough. So 9% more beef or something less, maybe over the balance of the year, but no real movement on the export side? Is that kind of what you’re looking at? Do you think the market should be able to grow about that increase?
Unidentified company participant: Well, the market is going to have to absorb it, because I don’t personally see any major impact coming from exports any time in the very, very near term.
Unidentified company participant: And even if those doors are opened up, the ability to get back market share will probably take a little bit longer just because we have been out of the market for you know, two plus years, so the ability to rebuild the pipeline and the channel will take time and effort.
Christine McCracken - FTN Midwest Securities Corp.: All right, I’ll leave it there, thanks.
Operator: Thank you. Our next question is from Tim Ramey. Your line is open, please state your company name.
Timothy Ramey - D. A. Davidson & Co: Good morning. D. A Davidson. Just back to the chicken volume subject for a moment. Did you actually -- did you buy any product in the quarter to sort of take advantage of the market share opportunities or were you pretty neutral on it?
Unidentified company participant: Well, that’s ongoing. I mean, some weeks we buy, some weeks we don’t. As we move into the seasonal opportunities, we usually buy more products than we are, so --
Unidentified company participant: Some Tim, but not a whole lot, it really is more around sizing of certain items that we might be short of for certain key customers, but by and large, we did not buy a tremendous amount of raw material on the outside during Q2.
Timothy Ramey - D. A. Davidson & Co: Got it. And will the current May day issues -- can you give us a bottom line on whether you think that’s a negative or a positive for the current quarter? And I assume you’ve shut down on a lot of the plants as of today.
Unidentified company participant: Well, as the first press release said, in some of our pork and beef plants, we’ve adjusted production for the week, so instead of running Monday through Friday we will run Tuesday through Saturday, and those were the adjustments we made.
Timothy Ramey - D. A. Davidson & Co: So fairly neutral for the quarter?
Unidentified company participant: Yeah, I mean, we will makeup Monday in the beef and pork plants that were out today, we will work Saturday this week. Actually I think its if anything, it’s a slight positive because I don’t expect the slaughter to date to be much over 50,000 on the beef and 170,000 on the pork.
Timothy Ramey - D. A. Davidson & Co: Yeah. And as we look at the business shift into longer term food service fixed price sub contract, should we worry about a risk of you sort of locking things that you know, with low prices now or will you continue to cover you know, fix the margin on that products?
Unidentified Company Participant: We are taking a very disciplined approach to make sure that, that doesn’t happen.
Timothy Ramey - D. A. Davidson & Co: Okay, glad to hear it. Thank you.
Operator: Thank you. Our next question is from Jonathan Feeney. Your line is open, please state your company name.
Jonathan Feeney - Wachovia Securities: Good morning, it’s Wachovia. Dick, you had made some nice closings on the beef industry and have showed some leadership here, but you know, we are not seeing too many examples of folks following. You know, can you just give us a sense from your experience you know, what do you think folks are going to follow as far as taking some capacity out of the beef industry and are you hearing rumblings of that competitively?
Richard L. Bond: Well, there has been a few closings as I recall, I think there’s actually nine including our two that have taken place. You know, one of our major competitors, Swift, if you’ll recall, about a year ago now, went to one shift out in Greeley, Colorado. You know, I can’t tell you if there’s going to be any more. It would appear that you know, we probably weathered the worst part of the storm in that the herd is starting to rebuild, so I mean, I can’t tell you that I see a whole lot more plant closures taking place here. The advantage that we got from our consolidation because it was kind of timed with our Dakota City new processing floor, we are going to gain some tremendous efficiencies from doing what we do.
Jonathan Feeney - Wachovia Securities: Thanks. And Dick, you’ve been great about giving us details on staff utilization. You said you mentioned 71 in the quarter, 75 coming out, you know, towards the end of the quarter in beef. You know, could you give us a ballpark of you know, after the cost reduction that you’ve taken out, where in the ballpark, we need to see that number to be guys you know, to be making money?
Richard L. Bond: Well, historically, we’ve always felt that as long as we got to that 80 plus mark. And this time, or some time this summer and for a good chunk of the summer, we ought to be well above that 80 percent mark. That’s kind of the mark that we really need to be at, is above 80 percent from a capacity utilization standpoint.
Jonathan Feeney - Wachovia Securities: Thanks. And just one follow up. John, you mentioned in response to a question about you know, the competitive market place that would exist in Japan should we you know, should the United States be able to reintroduce beef there. Could you talk a little bit more about that? And do you think there’s still you know, major place for US beef despite the logistical and challenges? How quickly could we get a major share of that Japanese market back you know, having been out of the market place?
John Tyson: Well, I think you know, trade relations you know, come and go and disruptions are part of the game. There is a desire for USB, if it’s a customer base, it’s always preferred USB, whether it’s in the, you know, bold type industry you’re adjusting your cuts and you know, Australia is starting to be tight on beef over there, and Brazil has got some health issues, so it’s just a matter of getting the channels open. We have a historical relationships with key customers. Those key customers are buying some of our chicken products and some of our pork products today, so getting beef back into that flow would be just a matter of the country of Japan saying yes to this, but yeah.
Unidentified Company Participant: That’ll be easier in South Korea because hopefully, the restrictions on agencies at 30 months in South Korea will be a lot better than Japan at 20 months. You still have very few cattle that qualify in Japan. So Japan is going to be harder, I think not so much from a customer perspective, because I think we can regain it faster there from a customer perspective, it’s just qualifying the right kind of cattle to be able to export to Japan.
Jonathan Feeney - Wachovia Securities: Thank you. Greg, finally we you know, we saw the more substantial closure at the Russian chicken market. Back in 2002 to start with, it is kind of administrative, at least ostensibly administrative move. You know, can you give us -- I know it’s early and I know you’re not a trade official, but can you give us a sense what the difference is this time -- it seems like you know, you have a group still pretty confident that is going to blow over much more quickly than it did back in ‘02.
Greg W. Lee: Well, I think you know, about all you can deal with is that the official information that you have in hand, and I think the Minister of Agriculture, very straightforward in what he said, so at this juncture, that plus the fact that they continue to accept products, the fact that we can continue to load ship as they publicly announced that they’re going to begin to reissue import certificates. You know, we are operating all the information that we have in hand both officially and from what we hear back from the street. And as in any other situation, we will simply have to monitor it but that’s the knowledge that we have at this juncture.
Jonathan Feeney - Wachovia Securities: Okay. Thanks very much.
Operator: Thank you. Our next question is from Eric Katzman, your line is open, please state your company name.
Eric Katzman - Deutsche Bank Securities: Hi, good morning. Deutsche Bank. Dick you know, I didn’t follow IBP before Tyson acquired the company. Was the worst margins that you saw during your years there, operating margins?
Richard L. Bond: 1991; $0.03 a share.
Eric Katzman, Deutsche Bank Securities : I meant more of like -- you guys reported 5% negative margin in the quarter. How does that $0.03 share translate, do you know?
Richard L. Bond: This quarter just ended --
Eric Katzman, Deutsche Bank Securities: But you lost $143 million with a negative 5% operating margin and I’m kind of wondering, during the worst of the trough that you’ve seen over various cycles, was it negative 7% operating margin, negative 3%, or just kind of give me a sense. Maybe there’s another way of looking at it like loss per head or something. But where are we relative to you know, the worst parts of the trough?
Richard L. Bond: Second quarter was, without a doubt, the worst part of any trough that I can remember.
Eric Katzman, Deutsche Bank Securities: Okay, all right. Second question is, I think that John at a public conference or a competitor’s conference, you had mentioned that you were starting to see a rebound in demand for chicken out of Russia, post-AI. I think some other companies had made comments about recovery in places like Turkey. Can you kind of update us on at least internationally, what improvements we may be seeing, particularly as you kind of move towards the West of Europe, because that seems to have been -- I guess, more of a difficulty.
Greg W. Lee: Eric, this is Greg. What we have seen in Russia is just, as you’ve mentioned Russia first is, as we moved into second quarter, we saw demand increasing, we saw sales on the street improving volumetrically, we saw the inventories in Russia you know, owned by the Russian businessman, we saw improvements in those inventories and interest in acquiring replacement product expand. We saw the price on the street move out of its trough and begin to improve, so that’s fundamentally just from a kind of a general numbers perspective, at the Russian perspective. If you look at countries like -- areas of the world like the Middle East where we basically had very, very little demand, whatsoever, over there as a result of the AI -- very minimal AI outbreak that they had in the general reason. There was a consumer scare, they had inventories, demand plummeted and they had to work through their inventories. Now what we are seeing is demand improving, they’re not having repeated outbreaks, they haven’t had any you know, human health issues of any scale, whatsoever. So the information that we are being given that is, demand is improving and that has manifested itself from the fact that we are receiving orders, have orders on hand and shipments headed in that direction. With regard to Western Europe, very quickly simply say that we believe you’ve seen the troughs in the consumer demand for chicken in the Western Europe, and it appears to be improving. Most of this AI deal, if you watch it very, very closely, it is not really moving and any evidence that we could see, the outbreaks things that have slowed down -- you can clearly have some more outbreaks and you’re not seeing anything moving towards a human health dealing scale.
Eric Katzman - Deutsche Bank Securities: Okay. And then Dennis, I think you had said in the outlook that shares outstanding, you should $346 million, but in answer in relation to John Mcmillin’s question earlier, I think you said that the 346 was closed by a loss in the quarter. So, does that mean that we should assume that we should use 346 because you’re going to produce the loss for the rest of the year? I mean, I don’t see how that makes sense?
Dennis Leatherby: That requires to take out any anti-diluted shares when we have a year-to-date loss, and so that’s why we’ve changed our numbers for this quarter. When we get to the third quarter we will see what that number is.
Eric Katzman - Deutsche Bank Securities: Okay. And then I guess, last question; when you setup these -- I guess, contracted food service pricing accounts on chicken and it’s generally kind of -- it’s been a cost plus. How frequently did those kind of get re-priced and is it you know, during the period where there’s such over-supply as to date, do you tend to try to back off for some of these contracts or really you’re just ambivalent, because it really is just cost-plus?
John Tyson: Eric, some of them are cost plus, some of them are fixed price, and generally those contracts, if you recall, are kind of late fall -– late October, November, early December types of timing on most of them, and most of them generally are for a year in duration. A lot of them you know, often at times don’t take effect until a couple of months after they’ve been negotiated, but you know, we are kind of in the middle of those fixed contracts now. Not in the middle of negotiating, but by and large, they’ll come up again next October, November, and December. We are really not trying to necessarily add –- certainly not add anymore at extremely low breast meat levels, so I mean, we are just dealing with those fixed contracts as a normal course of business, not really trying to do more or less; just managing what we have.
Unidentified Company Participant: Okay.
Eric Katzman - Deutsche Bank Securities: All right, thank you.
Operator: Thank you. Our next question is from Ken Zaslow. Your line is open, please say are company name.
Kenneth Zaslow - Harris Nesbitt: Harris Nesbitt, good morning everyone.
Unidentified Company Participant: Good morning.
Kenneth Zaslow - Harris Nesbitt: Believe it or no, I still have some questions. Can you talk about the promotional activity at retailers, and how it’s going to swap this summer between chicken and beef?
Unidentified Company Participant: I don’t think there will be a swap between chicken and beef, but you’ll just see an addition of beef, and so you’ll see more protein promotion, and the continuous promotion, so one week; chicken maybe the next week beef you know, and so it’s not a swap as much as it is an addition of getting beef back into the rotation.
Kenneth Zaslow - Harris Nesbitt: Okay. And Dick, I think you said that the third quarter for chicken is going to get worse than what we are in now, so although you were positive there’s probably some more downside in the third quarter. Is that the right interpretation?
Richard L. Bond: That’s correct.
Kenneth Zaslow - Harris Nesbitt: Okay. And in terms of the over-abundance, I know you touched on a little bit in terms demand size. Has there been any rebound in the you know, Russian market in terms of demand. Can you talked to you know, how bird flu has actually affected demand, and if there has been any you know, rebound or has it been localized, has it expanded, can you just touch on that, for chicken?
Richard L. Bond: Okay. Ma’am, we must have some trouble on what we are saying getting out to everybody. The Russian market place based on the evidence that we have in hand through the quarter, and most recent is volume, was beginning to improve. Inventories on the ground in Russia were beginning to improve, and the street price in Russia was beginning to improve, and that has manifested itself with over -– excuse me, order flow from here to there, improving. We are also we are seeing improvement in China. Back out there, like I mentioned in my prepared remarks that our volumes of sales in country and China had responded to historical levels. As I think you know, one thing is talking about kind of the macro chicken supply you know, we’ve talked about the numbers that we are seeing in US showing somewhat more discipline, and we are pleased see that. I think many who happened to follow closely know that our biggest competitor in the international environment for exports; Brazil has taken some very aggressive cuts that takes the chicken off of the international marketplace and we hope that will help the aggregate world price overtime.
Kenneth Zaslow - Harris Nesbitt: What is your estimate on how much Brazil is touching in production?
Unidentified Company Participant: Well they are -- they have talked -- based on the numbers that we have seen on the total numbers of chickens, this is about 15% number.
Kenneth Zaslow - Harris Nesbitt: Is that the -- entire Brazilian industry or is that just for the export type?
Unidentified Company Participant: They are published data on large chickens produced.
Kenneth Zaslow - Harris Nesbitt: Right, thank you very much.
Operator: Thank you. Our last question is from Pablo Zuanic, your line is open. Please state your company name.
 Pablo Zuanic - J.P. Morgan: J.P. Morgan. Good morning everyone.
John Tyson: Good morning Pablo.
 Pablo Zuanic, J.P. Morgan: Just a last question on beef. I’m just trying to understand here, you know, the second quarter of ’06 with second quarter of ’05, correct me if I’m wrong, there is more cattle over there year-over-year, live cattle prices are lower, so you have better capacity utilization. So the main reason for the much worse economics has to be lower domestic prices and I’m probably stating the obvious but if that’s the case that was caused mainly by the chicken side. So is it fair to say that, that’s been the main root of the problem in beef and as chicken prices begin to recover, you should get back more in to what was the first half of ’05 levels in beef. Because you know, these markets are just as bad or maybe even slightly better year-in-year, cattle supplies are better year-and-year and the capacity of utilization is probably better?
John Tyson: All what you have said is true. Just remember that the Q2 is January, February and March and we really still had very tight cattle supplies and also a relatively high cattle price during those three months. The decline in cattle prices is really beginning in the third quarter -- most of the decline has taken place in April. So we still had short supply, high prices, high and large for the most of that second quarter period.
Pablo Zuanic, J.P. Morgan: I understand that we are comparing the second quarter of the last year and it’s like it’s for something like Canada, I mean how much of the delta was caused by Canada, obviously the EBIT in Canada fell, how much was that?
John Tyson: I don’t have that number right off the top of my head.
Pablo Zuanic, J.P. Morgan: Okay, we are again just already seeing some point, so -- so the main -- if you have to choose one factor, that was the biggest difference between second quarter of ’06 and second quarter of ’05 would have been the -- both these prices were lot lower that everything else actually moved in your favor?
John Tyson: Box beef prices compared to live cattle prices, our spread was reduced in second quarter and if you want to say what the main reasons for that was, it was probably an over abundance of supply of chicken and pork.
Pablo Zuanic, J.P. Morgan: Right, so bottom line that there has to be -- you are expecting an improvement there, you are saying for the second half. So in that regard beef should be getting better than what we seen in second quarter of ’05, is that fair?
John Tyson: Probably that, I can’t remember exactly what the -- what our results were in Q3 and Q4 of ’05, but yeah, supplies will be greater and results should be better, spreads should be more positive.
 Pablo Zuanic, J.P. Morgan: Again the last question, when we are looking at cattle and feed numbers, yes I have had a 7% - 8% but, you know, the cattle inventories had -- its been increasing only about 1% base, eventually cattle and feed has to be going to line with cattle inventories, right. So you are going to get a good summer, because of this scenario and at the end because we are increasing cattle and feed, but by the later part of the calendar year, cattle inventories growing at only 1% base is not going to help much. Is that -- I mean it is positive but it’s not a -- it’s not the same as 8% growth. Is that a concern?
John Tyson: It’s always a concern, but for 1%, you know, change in cattle inventories, you know, you are only going to get 1% to 2% change in cattle inventories, as we go from the low point back up to the high point, that’s why it takes you know, four or five years of continued growth in the herd to go from that 31.5 up to the 35 million head. So, well yes, it is a concern, you are still going to see that number increase 1% to 2%. The 7% to 9% is a more short-term effect based on the summer time months and you are exactly right. The numbers will come back down but historically that is what happens as you get out of the summer into the late fall, the demand and the supply do seem to you know, get a little bit more in line, the supply will drop back but it will still be 1% to 2% higher than the previous year.
 Pablo Zuanic, J.P. Morgan: Okay and just one last question, if I look at you know, chicken prices is going down from $0.50 per pound to $0.15, if you had to do a post mortem, would you say it was more supply related at the end of the day, than really export market related, I mean is there a way to try to quantify that?
John Tyson: I think, you can’t completely segregate all of those factors. Clearly your international demand hit up a very rough spot and that back product into the domestic market, a domestic market that already had too much protein. So, you are right and you are right.
 Pablo Zuanic, J.P. Morgan: Thanks.
Operator: We have no further questions.
John Tyson: Once again, thank you all. Thank you all for your questions, trying to understand our company better and taking the information and share it in the marketplace. To the Tyson team members who have been on the call, we appreciate what you’ve done for us, we appreciate your hard work and we thank you that, and to our shareholders and to our friends that support our company. Have a great summer.